Operator: Hello everyone, and welcome to PubMatic's First Quarter of 2022 Earnings Webinar. My name is Kelsey, and I will be your operator today. Before I hand the call over to the PubMatic team, I'd like to go over a few housekeeping notes. As a reminder, this webinar is being recorded. After the speakers’ remarks, there will be a Q&A session. If you plan to ask a question, please ensure you've set your Zoom name to display your full name and firm. If you would like to ask a question, please use the raise hand function located at the bottom of your screen. We thank you all for your attendance today. And I will now turn the webinar over to Stacie Clements with The Blueshirt Group.
Stacie Clements: Thank you, operator and good afternoon, everyone. Thank you for joining us on PubMatics earnings call for the first quarter ended March 31, 2022. Joining me on the call are Rajeev Goel, Co-Founder and CEO, and Steve Pantelick, CFO. Today's prepared remarks have been recorded, after which Rajeev and Steve. A copy of our press release can be found on our website at investors.pubmatic.com. Before we start, I would like to remind participants that during this call, management will make forward-looking statements, including without limitation, statements regarding our future performance, market opportunity, growth strategy, and financial outlook. Forward-looking statements are based on our current expectations and assumptions regarding our business, the economy and other future conditions. These forward-looking statements are subject to inherent risks, uncertainties, and changes in circumstances that are difficult to predict. You can find more information about these risks and uncertainties and other factors in our reports filed from time-to-time with the Securities and Exchange Commission, including our most recent Form 10-K and any subsequent filings on Form 10-Q or 8-K, which are on file with the Securities and Exchange Commission and are available at investors.pubmatic.com. Our actual results may differ materially from those contemplated by the forward-looking statements. We caution you, therefore, against relying on any of these forward-looking statements. All information discussed today is as of May 9, 2022, and we do not intend and undertake no obligation to update any forward-looking statements, whether as a result of new information, future developments, or otherwise, except as may be required by law. In addition, today's discussion will include references to certain non-GAAP financial measures. These non-GAAP measures are presented for supplemental information purposes only and should not be considered a substitute for financial information presented in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measures is available in our press release. And with that, I will now turn the call over to Rajeev.
Rajeev Goel: Thank you, Stacie, and welcome, everyone. We delivered our seventh consecutive quarter of durable growth with a compelling combination of high-growth revenue, significant profitability and meaningful cash generation. Organic revenue in the quarter grew 25% year-over-year, reflecting the strength of our usage-based software platform. Adjusted EBITDA margin was 31%, demonstrating the tremendous leverage in our business. Cash flow from operations, an important indicator of the health of our overall business was $19 million. Our long track record of profitability allows us to continually invest in innovation to capture the long-term growth opportunities in the face of a dynamic macroeconomic environment. Our consistent performance is driven by our unique infrastructure-driven approach to digital advertising. We own our own infrastructure, which gives us the ability to control and optimize the entire technology stack as well as benefit from significant leverage from increased usage of our platform. The resulting flywheel of high-margin revenue, reinvestment in innovation and expanded customer usage is a key competitive differentiator underpinning our results. We are hard at work building the digital advertising supply chain of the future. This is a supply chain that connects publishers, agencies, advertisers, data owners and e-retailers with each other and with consumers on a global basis across ad formats and in devices. It is a supply chain that is efficient, transparent, free of fraud and both rich in data and respectful of consumer’s desires for privacy. And ultimately, it's a supply chain that maximizes value for our customers in terms of publisher revenue and advertiser return on investment. This vision creates a long runway for growth. Global digital ad spend is expected to be almost $630 billion in 2024, and it continues to grow at a rapid rate. A programmatic approach is the only way to efficiently manage the growing variety of channels and ad formats alongside the expanding volume of inventory and advertisers. As a pioneer in programmatic advertising, we believe we are in the early days of a long runway for growth. We entered the year with an estimated market share of 3% to 4%. Over the long-term, our objective is to grow our market share to 20%. To accomplish this, we are continuing to invest in multiple growth drivers that fuel the supply chain of the future, including supply path optimization, omnichannel technology and audience addressability all with a dual focus on short-term results and long-term opportunity. Buyers are actively consolidating their ad spend on fewer supply paths as they look to optimize their spends through robust targeting, direct technology, integrations and workflows and premium ad inventory across channels. Additionally, buyers are seeking more transparent and efficient media buying across the open Internet. We are partnering with buyers to build for this future. For Q1, SPO represented over 27% of total activity on our platform, up from 10% two years ago. Our partnership with GroupM is a great example of the SPO journey we are on with many of our buyers. After working together for multiple years in different parts of the world, we first announced a PubMatic and GroupM partnership in March of 2021. In February of this year, we announced the expansion of our global partnership, which is rolling out in multiple stages over the course of the year. As part of this expansion, PubMatic will enable the GroupM premium marketplace, a programmatic marketplace focused on connected TV and online video that will increase media buying transparency and efficiency. With our technology, GroupM is able to make the media buying process simpler and more transparent, enabling publishers to gain better inventory monetization and exposure to new clients within the GroupM portfolio as advertisers will be able to shift more of their ad spend to programmatic buying. As more spending moves towards programmatic channels, we see opportunity in our omnichannel capabilities as buyers and publishers seek to simplify their workflows and tech stacks by leveraging a single technology platform that works across formats and channels. For instance, we continue to drive expansion across the fastest growing ad formats, CTV, online video and mobile app and web. With our single platform, we match buyer needs to publish our inventory at scale, regardless of device or content type in use by the consumer. This omnichannel approach has positioned us as being particularly resilient over the last two years as we've seen rapid changes in consumer behavior. CTV is in the early stages of market adoption. However, it's growing quickly. GroupM estimates global CTV ad spend to be $20 billion this year, growing to $32 billion by 2026. We believe this market can be substantially greater with the onsite of premium inventory as large broadcasters and publishers brought in their offerings with ad-supported models. We are building for this future, whether it's data enriched deals, private marketplace deals or Programmatic Guaranteed transactions. Our vision continues to rapidly gain market traction, and we delivered another great quarter of outsized growth. Revenue from CTV grew more than 5 times over Q1, 2021. We continue to add more premium CTV inventory to our platform and are now monetizing inventory for 176 CTV publishers. We're also working with device manufacturers, rising stakeholders within the CTV ecosystem. We recently signed three of the top five largest connected TV manufacturers who are utilizing our platform to gain access to the rapidly growing programmatic CTV advertising demand that we bring to them. In addition, we are seeing growth and significant opportunity in the mobile app channel. We recently partnered with ironSource to bring incremental brand advertising demand to their in-app publishing inventory. These ads kept users engaged and inside the app, promoting a better user experience that benefits both advertisers and publishers and proving the value buyers and publishers gain within app video. A critical aspect of the digital advertising supply chain of the future is audience addressability, as third-party data becomes less sustainable and relevant, the value of data is shifting to the sell side at the nexus of the publisher and the consumer. We see a significant role to play as a result of our being a leading technology provider to publishers. We offer a portfolio of solutions using non identity, first-party data, contextual advertising and cohorts. With this approach, we can create a stronger, more sustainable and privacy safe advertising ecosystem that delivers superior monetization for publishers and increased ROI for buyers. Our investments and advancements in addressability solutions help us unlock the massive retail media opportunity and expand our addressable market. Retail Media is expected to be a more than $140 billion market by 2024. We are building technology and solutions to help retailers monetize their own media, extend their data offsite to monetize impressions from non-retail publishers and to optimize ROI providers. At the same time, our addressability solutions are gaining traction with retailers and e-commerce companies today. A major grocery chain and other retail giants are already choosing PubMatic to monetize their valuable first-party data off-site to unlock incremental revenue streams. In addition, digital site e-commerce platforms are leveraging PubMatic technology to power on-site audience-based private marketplaces. In summary, I'm extremely proud of the team and all that we've accomplished. We operate in a large and growing market with significant long-term opportunity. Regardless of the near-term macroeconomic conditions, we are incredibly excited about and focused on the long-term growth runway ahead of us. We've demonstrated resilience through peaks and valleys of the economic cycle, leveraging the strength of our infrastructure-driven approach, usage-based business model and deep focus on innovation. Our profitability allows us to focus on and invest in long-term innovation and serve our customers while delivering consistent, durable growth quarter after quarter. Let me now turn it over to our Chief Financial Officer, Steve Pantelick, to provide additional detail.
Steve Pantelick: Thank you, Rajeev, and welcome, everyone. In Q1, PubMatic continued its outstanding track record of durable growth, market share gains and profitability, with revenue of $54.6 million, representing year-over-year growth of 25%, the seventh straight quarter above our long-term target of 20-plus percent. It was also our 12th straight quarter of positive GAAP net income and our 24th consecutive quarter of positive adjusted EBITDA. As a reminder, 2021 was our ninth straight year of adjusted EBITDA profitability. These results are particularly noteworthy and demonstrate the strength and resiliency of our business in view of the various macro headwinds that have emerged over the last several months, notably in EMEA. Robust growth in the Americas and APAC regions have helped offset these challenges. Our investments in innovation, go-to-market resources and infrastructure have been instrumental to our financial results and produce a powerful network effect with increased visibility and scale, driving higher revenues from existing customers and delivering significant benefits to our customers and us. We continue to outperform on the bottom line with first quarter GAAP net income of $4.8 million and adjusted EBITDA of $17 million, representing margins of 9% and 31%, respectively. Our cash flow from operations was $19.3 million, and free cash flow was $14.9 million or 27% of revenue. Before turning to the details of the quarter, I want to highlight the drivers that have underpinned our financial success to date and give us confidence in our long-term growth and profit trajectory. First, we've built a scaled business in a highly fragmented industry that offers an omnichannel and global solution for publishers and buyers. Our purpose-built globally distributed private cloud infrastructure and local go-to-market presence enable us to do business in every major ad market apart from China. This foundation allows us to expand across the world effectively and efficiently. Second, our usage-based model, combined with our proven ability to retain and grow revenues from existing customers provides a high degree of revenue stickiness and corresponding visibility. Third, we have built a business with structural advantages emanating from our owned and operated infrastructure and offshore R&D that enables us to expand our competitive moat and consistently invest in innovation on behalf of our publishers and buyers. Fourth, our operating model and global team have consistently achieved strong profit margins by staying focused on operational excellence while delivering value to our customers. And lastly, we generate consistent cash flow through rigorous working capital management and efficient capital expenditure. Now turning to the highlights for Q1. Despite the various macro headwinds in the quarter, we successfully navigated our business to deliver strong revenue growth across formats and channels. We benefited from having a broad set of over 60,000 advertisers who leveraged our omnichannel global platform. Our 25% growth in the quarter, combined with last year's increase translates to a two-year stack growth of 79%. In aggregate, spending from our top 10 ad verticals increased over 40% year-over-year. Shopping grew well above the average, supported by a strong rebound in travel at 150% and arts and entertainment at nearly 100%. All top 10 verticals grew double digs to more. The benefit of having diverse business activity on a platform was born out in the quarter with faster growth verticals offsetting slower growth in the automotive and health and fitness verticals. In April, we saw some softening in several verticals that was partially offset by continued strength in shopping and travel. Revenues for our mobile and omnichannel video business, the combination of online video and connected TV, grew 41% year-over-year and accounted for 67% of our total revenues in Q1. This growth was on top of the prior year's growth of more than 63%. Revenue from CTV, inclusive of OTT grew over 5x over Q1 2021. Our total desktop business comprised of display and online video also performed well with revenue up 15% year-over-year on top of prior year's 23% growth. We also continue to diversify our customer base as Yahoo! revenues represented less than 15% of our total revenues in the first quarter. Supply Path Optimization relationships play a key role in terms of our growth and revenue sickness, as advertisers and agencies expand usage of our platform. In Q1, we continued to sign new SPO deals, renewing existing agreements and grow as spending via these deals. Our multiyear success with SPO supports further investment behind this opportunity, and we are building more tools to allow buyers to find the right audiences and media on our platform. The proportion of SPO spend to total ad spend increased from Q4 and represented over 27% of spending in the quarter. An important indicator of publisher satisfaction and usage of our platform is net dollar-based retention. We again performed very well hence this metric. For the last 12 months through Q1 2022, net dollar-based retention was 140%. As a reminder, it will naturally normalize and come down from this level once Q2 2020 results are no longer in the comparison set. Our long-term success in achieving high gross margins is a result of our strategy and execution. We aim to put in service on maximum capacity every calendar year by the beginning of Q4. Once capacity is put in place, it becomes a fixed cost in the near term that we then leverage over the succeeding periods. In seasonally lower spend periods such as Q1 and Q2, our gross margins are typically lower than the second half levels. As the year progresses, the combination of ongoing infrastructure optimization, the expansion of activity with our new and existing customers and higher seasonal ad spending results in significant structural leverage. By owning and operating our infrastructure, we have been able to drive down our unit costs. Over the last two years, we have reduced our cost of revenue per million impressions processed by 50%. Our experience has shown us that the return on investment for incremental capacity is high and typically pays for itself on a cash basis in months. With this cost advantage, we plan to continue expanding our processing capacity to capitalize on growth opportunities and to increase our competitive mode. In Q1, the combination of increased headcount for growth and stock-based compensation resulted in operating expenses of $32 million, up 30% year-over-year. Excluding stock-based compensation, Q1 operating expenses increased 25%. Over the last 12 months, we increased our technology team by 39% and our go-to-market team by 14%. Q1 GAAP net income was $4.8 million. Non-GAAP net income, which adjusts for stock-based compensation, the unrealized gain on equity investments and related income tax effects was $8.1 million or 15% of revenue. Diluted EPS was $0.08 and non-GAAP diluted EPS was $0.14. Turning to our cash flow. We generated net cash from operating activities of $19.3 million in Q1 2022. Our free cash flow was $14.9 million, equal to a free cash flow margin of 27%. We ended Q1 2022 with cash, cash equivalents and marketable securities of $175 million and no debt. Now on to our Q2 and full year 2022 guidance, first and foremost, the factors that are driving our durable revenue, profit and cash generation remains solidly intact. We are confident in our long-term growth trajectory. We have built a business with strong innovation capabilities, which allows us to capture digital advertisings, biggest opportunities in mobile and omnichannel video today, while positioning us to take advantage of new opportunities that are emerging. Looking to Q2, while we see several headwinds, our revenue is trending within the range of our expectations. To be clear, there is potential for further softening of European consumer demand amidst the Ukraine/Russian war and challenging economic conditions rated from high inflation to rising interest rates that may dampen consumer activity and advertiser spending levels. In addition, there is of course, the reality of some parts of the world remain in COVID-induced lockdowns that affect both the supply chain and consumer activity. If any of these trends significantly worsen our Q2 revenues may be affected. For Q2, we expect revenue growth of 20% to 25% or $60 million to $62 million. As a reminder, we had a very strong Q2 last year with 88% growth. On a two-year stack basis, our guidance translates to over 100% for the two-year period. We expect adjusted EBITDA between $18 million and $20 million or approximately a 31% margin at the midpoint. In terms of our investments to achieve our long-term growth potential, we plan to maintain our previously disclosed strategy of stepped-up investment in our technology organization. Over the next several quarters, we aim to double the team with the majority of new hires to be added in our India Technology Center. Our hiring was slower than anticipated in the quarter, but we have seen solid progress thus far in Q2. We also plan to continue adding key go-to-market team members across the globe, to drive new product adoption and new market expansion. We believe, we are still in the early days of our growth and realizing the considerable business opportunity ahead of us. Accordingly, we are making investments now for long-term market share gains. Of course, we will revisit these plants if there are any major changes in macro conditions. We are maintaining our full year revenue guidance of $282 million to $286 million or 25% growth at the midpoint, supported by the anticipated robust second half growth from our SPO relationships, continued ramp-up of our CTV business, and political ad spending. Our full year guidance today, assumes that macro conditions do not deteriorate significantly, from where they are currently. In terms of FX exposure, we believe the risk is limited because most of the transactions flowing on our platform are denominated in U.S. dollars. On a full year basis, we anticipate that GAAP operating expenses will increase in absolute dollars, at roughly a similar percentage rate as 2021, with some quarter-to-quarter variability as the year progresses based on timing of hiring and investments. Our operating expense assumptions include incremental operating costs of $5 million to $6 million related to new offices we are adding, offices reopening and significantly higher in travel and entertainment expenses as our team engages in person with customers around the globe. We're also maintaining our full year adjusted EBITDA margin range between $101 million, and $106 million or approximately 36% to 37% margin. We expect CapEx for the year to be $33 million to $36 million, up from our original expectations at the beginning of the year. We continue to see supply chain delays and therefore, will be accelerating some 2023 CapEx investments into 2022. Based on timing of equipment and availability and shipments, the bulk of our CapEx will occur in Q3 and will disproportionately affect free cash flow in that period. As noted earlier, our proven track record of return on investment for incremental capacity is high, and we believe this positions us well for future growth. Overall, we expect to increase the total number of impressions processed in 2022 by over 50% compared to 2021. In closing, our first quarter results underscore the strength of our platform and the basis for our confidence in our future prospects. We believe we have the right platform and the right approach to be at the forefront of our industry. PubMatic delivers a compelling combination of durable growth and profitability, including cash generation due to our unique infrastructure driven approach to digital advertising. We see a long runway of growth ahead of us as our TAM continues to grow. We are consolidating the sell side as one of the few scale global omni-channel platforms. And our profitability gives us a high degree of agility and the ability to invest in long-term market share gains, which is our plan. With that, I'll turn the call over to Stacie to open it up for questions.
A - Stacie Clements: Thank you, Steve. [Operator Instructions] Our first question comes from Shweta Khajuria from Evercore. Please go ahead, Shweta.
Shweta Khajuria: Thanks, Stacie. Hi, Steve and Rajeev. I guess a couple of questions. When you think about the macro headwinds, so you said your assumption in the guide is not meaningful deterioration of trends from here on. I guess, could you talk about the magnitude of headwinds you saw whether it is Ukraine supply chain or inflation and interest rates, how would you rate them in terms of the magnitude of the impact? And second, how are you – what kind of impact are you expecting from political spend in the back half of this year? You called that out. Thank you.
Rajeev Goel: Nice to reconnect Shweta. So from my perspective, the ranking of the risk is, of course, there's a lot of challenges in the EMEA region notably the war that's going on there. And that does have some potential to have an overhang effect on consumer behavior. We have roughly a little over 25% of our business in the EMEA region. But the strength of our platform as an omni-channel platform and globally scale really has allowed for us to navigate quite successfully in spite of some of that softness. As noted, we saw very strong continued results out of our advertising verticals in shopping, travel and offsetting where there were some other weaknesses in another couple of adverts. So overall, we feel that, that's probably the top of the most immediate risk. The other factors are really industry-wide questions and aspects that everybody is addressing and trying to figure out how best to work through it. Of course, there's inflation risks, as well as high – rising interest rates. But overall, we've built a business that is well balanced and diversified to allow us to navigate these macro headwinds. In terms of the anticipated upside from political aspect, as we saw in the prior big spending cycle, we anticipate several million dollars in the fourth quarter coming into our business as a result of that activity.
Steve Pantelick: And Shewta good to connect, if I can just add a little bit of context as well. Obviously, your question was on the short-term economic dynamics. But from my perspective, I'd just like to add, I see a long runway of growth ahead of us. Our addressable market continues to grow. We're consolidating the sell side as one of the very few scaled global omnichannel platforms. We have a very profitable business model, which gives us the ability to invest in innovation and be very agile. So the economic environment will kind of be what it's going to be for the next couple of quarters, but we see great long-term opportunity and ability to continue to grow our share.
Q – Shweta Khajuria: Okay . Thank you, Rajeev. Thank you, Steve
Operator: And our next question comes from Brent Thill with Jefferies. Go ahead, Ben
Brent Thill: Thanks. Good afternoon. Steve, I know you mentioned you're not anticipating the economy to get worse. But in the event that things did tick down, can you just give us a sense of how you would think about running the bottom line? Would you continue to invest through this cycle, or do you feel that you would take a different approach to the margins in the interact?
A – Steve Pantelick: Great. Well, good to reconnect with you, Brent. And so with respect to your question, one of the things that really has proven to be a big strength of our company is to be able to consistently invest over the long run. And as a reminder, over the course of the pandemic we actually increased our global team by 50% and our technology team by 80%, and that really set us up well for the growth that we're seeing today, well above the industry average. And so from our perspective, it's always a fine line to really assess the stickiness of any particular point in time of the impact. But there are things that really give us a lot of confidence. First of all, we have a long track record of profitability based on structural advantages that we built up over time. That leads us to be able to invest through headwinds and with tailwinds Second, in terms of economic disruption, what we've historically seen is that advertisers will reduce their budgets potentially, but then they shift towards the areas that we operate in, which is programmatic advertising, where it's more measurable, you can gain the efficiency. It's flexible in a real-time environment. And so as a case in point, arguably, what occurred when the pandemic really struck in Q2 2020 was a microcosm of the kinds of tailwinds that we're facing today. And what we saw as a company is that despite the impact of the top line, we still delivered almost a 20% EBITDA margin. It's a function of multiple factors, strategy and execution and also just being able to be very nimble in the marketplace. And as everybody knows, from that point, our business really ramped up and grew very nicely and finished the 2020 year up over 30%. So big picture, we keep a close eye on trends, but we feel that we are really doing our shareholders a service by consistently investing in innovation and preparing to take advantage of these considerable growth opportunity ahead of us.
Brent Thill: Great. A quick follow-up for Rajeev. Just -- you mentioned connected TV up 5X [ph] . Can you just give us a little more context of kind of what the next wave of the journey is for you in CTV and ultimately, anything that you're seeing that's interesting that give us a little more color as it relates to what's happening with your success in that market?
Rajeev Goel: Sure. Yes, absolutely. We're really excited about the growth there. And I think we're seeing opportunities in a couple of different areas. First, I'll talk about the buy side. We -- in my prepared remarks, I highlighted the GroupM premium marketplace. That's a lot about online video and CTV. So, we're seeing great traction on the buy side. That's just one example of major buyers shifting more spend towards our platform. And that, in turn, brings more publishers to our platform, whether they're existing publishers that now we're expanding into CTV with or new publishers. And I think one of the things that you'll see with us, given we're focused on efficiency and programmatic methods of transacting CTV and being very efficient and scalable in doing that is we will attract a wide variety of different CTV media owners. And so we highlighted in the prepared remarks the device manufacturers, that's a great category -- not really a category that existed even a couple of years ago. There's obviously broadcasters -- our model is also great for the more niche-oriented CTV apps where they may not be 100 million, 200 million users. They may be $10 million, 20 million, 30 million, but they could be very focused on specialized types of content. You'll also see us grow very rapidly in all markets around the world, given the nature of our global platform. So, there's, I think, a wide variety of different ways for us to engage with sellers and buyers from a CTV perspective, leveraging the strength of our infrastructure, the transparency it brings. And so I expect to see that publisher number continue to grow. And I also expect to see the retention rates in terms of the volume -- the dollars that we're transacting for each hub to also grow.
Brent Thill: Okay. Thank you.
Rajeev Goel: Thanks Brent.
Operator: Our next question comes from Justin Patterson at KeyBanc.
Justin Patterson: Great. Thank you and good afternoon. Rajeev, Europe has generally been setting the tone on regulation and antitrust. With the Digital Markets Act looming about a year out, what threat and opportunities do you see from that for PubMatic. And then, Steve, how should we think about the pace of unit cost reductions going forward? You've clearly had a lot of success with that in the past few years. So, curious how much further you can go? Thank you.
Rajeev Goel: Yes hey Justin. So, I think generally, the focus on privacy regulation and we can also maybe include in there some of the antitrust or anti-competition regulation and investigations is a tailwind for us. I think from a privacy perspective, what's happening is the rules are becoming clearer around how consumers' desires for privacy should be respected in digital advertising, and it's something that we have long advocated for and long stood for. And I see now the opportunity really to provide to advertisers, I think what they've always wanted, which is the great high-quality content that the Open Internet is well-known for some great premium content brands, but also now with heavily consented data flows where the publisher -- sorry, where the consumer is able to say exactly what data they're willing to share or not willing to share and to be able to do that at scale. And as that's happening, the nexus of data activation and targeting is moving to the sell-side of the ecosystem. And that's because the consumer and the publishers sit on the sell-side of the ecosystem. And so we think with our -- obviously, our publisher sell-side focus, we're in a great position to be able to capitalize on that trend. And I see -- we see exactly that playing out in our entire portfolio -- our fairly broad portfolio at this point of addressability solutions.
Steve Pantelick: Justin to get to your question regarding our ability to drive our unit costs, we are very confident that we're going to be able to keep doing that on a fairly steady basis. I anticipate doing it roughly about 10% to 15% reductions on a per annum basis. And the reason why we have this confidence is, as a reminder, we control all layers of our tech stack, meaning the software layer, the network layer and the hardware layer, and so we are always in a position to optimize depending on the opportunities. And this really has a benefit, of course, in terms of reducing our unit cost, but it really is a terrific outcome for our customers because that leads to faster innovation, greater control and dramatically better outcomes for all of our ecosystem partners. And so, when we think about it in terms of what we are able to accomplish, we're going to consistently invest. And because we have the confidence and proven ability to reduce those unit costs, that puts us in a very strong leverage position in terms of creating this competitive moat that allows us to start that cycle all over again and keep reinvesting in the business.
Justin Patterson: Thank you.
Operator: Our next question comes from Matt Swanson, RBC. Please go ahead.
Matt Swanson: Yeah. Thanks, Stacie, and thank you guys for taking my question. I guess following up on Justin's question, can we just get an update on Identity Hub and Audience Encore, specifically around customer conversations as we inch closer to 2023, are you starting to see this pick up a lot? And could this be another catalyst for supply path optimization and really kind of focusing on the differentiation. And then, Steve, just as a quick follow-up to an earlier comment. You mentioned some specific verticals still maybe being more impacted. Could you just go into a little bit on that? Obviously, it's good to hear that retail and travel are performing better now?
Rajeev Goel: Hey, Matt. So with respect to Identity Hub and Audience Encore, we continue to see great traction and uptake with our customers around those products. So we have more and more publishers adopting Identity Hub on a monthly basis. I think it's becoming easier for publishers to deploy it, and it's also becoming more and more valuable as we add more identity providers into that solution. Buyers are also very excited about it because it means that when they want to bring their identity solution to market, we can provide instant levels of scale given the installed base of Identity Hub. Audience Encore is also gaining rapid amounts of traction. And I guess just as a reminder, Audience Encore allows any data owner, so it could be a buyer, it could be a data partner or could be a publisher to make their data available on our platform and attach it to other publishers' inventory or media. In Audience Encore, we continue to innovate heavily behind this product. It's gaining more and more traction. We shared some case studies in the fact sheet with MiQ, LiveRamp and others around that product. And I do believe both of these products should lead us to more wins in terms of supply path optimization. I think buyers see an increasing level of differentiation from us on the audience addressability side, and they see that we're innovating heavily on their behalf. And they also see an advantage that we have in terms of our infrastructure. And just as an example, I was meeting with the leader of a top five, top six agency just a couple of weeks ago, and they asked about how can we help them in terms of compliance, privacy around -- compliance with privacy regulations around the world. And the fact that we own our own infrastructure means that we can control very granularly what happens in any given country. And that is in contrast to those that operate in public cloud where they may not even know whether the server instance that's processing data is sitting. So I think our advantages are only going to continue to grow, and that should lead to more stickiness both on the publisher side and on buyers via supply back optimization.
Steve Pantelick: Matt, with respect to your question on ad verticals, just as a reminder to everyone, one of the strengths of our business is that we have a very diversified advertiser base, and we have more than 20 ad verticals. And in the first quarter, our top 10 ad verticals grew over 40% year-over-year. And we had some real seller performance in travel and a couple of other verticals like shopping. And the reason why we are so confident in terms of the approach to the business is that, that growth was able to offset some slower growth, but still all top 10 ad verticals grew in double digits year-over-year. So it's not a function of sort of lagging growth is just where the growth is coming from at any point in time. And that's really an important call out. For example, the news vertical grew almost double year-over-year in the first quarter. And historically, that's a small part. It's outside of the top 10. Real estate was outside the top 10, struggled in the first quarter. So the big picture point is what has allowed us to more than grow at twice the rate of the market? Is this a very robust omni-channel platform that has -- it's really a portfolio based upon advertisers, verticals and our global spread. So that really, I think, is the key takeaway of why we are successful. And that is sort of the thing that gives us confidence as we look ahead to the second half.
Matt Swanson: Thank you.
Operator: And our next question comes from Andrew Marok at Raymond James. Please go ahead, Andrew.
Andrew Marok : Yes. Thanks for taking my question. You noted about the hiring trends, which might be a little bit lower than you had expected in 1Q. I guess is that a result of increased competition for talent? And I know you're concentrating a lot of your hiring on India. Is there any differences in the markets for talent between the domestic market in India? Thank you.
Rajeev Goel: Hi, Andrew. So probably we’ve set the stage that first and foremost that we've been very successful in hiring people over the last couple of years. As I said a few minutes ago, we increased our global headcount by 50% by the end of last year and the first quarter of this year over last year, overall globally 25%. So it's not that we're not able to hire people, but we have set a very high bar for what we want to accomplish because of the importance that we see in consistent innovation and expanding there markets where we operate with existing customers and new customers. So I wouldn't say, it's a function of a particular challenge on a relative basis. We are obviously hiring many people across the globe. We are specifically very focused on adding incremental team members in India as the heart of our innovation center. And so over time, there is sort of this challenge of competition, but we see less of that in some markets. And of course, there is going to be always puts and takes on a particular role or function in terms of the difficulty of hiring that individual. But we've been very pleased what we've been able to accomplish in terms of growth of our team. And I think in the first quarter, it was probably a function of a lot of macro challenges, and there was some hesitation for people maybe to leave the jobs that they were currently sitting. And so we don't anticipate being a major headwind. It's really just a call out in terms of, we'll call it, timing of hiring.
Steve Pantelick : And Andrew, I'll just briefly add. I mean my own view is that hiring will get easier over the course of the year, really for two reasons. One is we're already seeing signs of pullbacks at many companies. You had the Uber memo right that came out last night. I think Robinhood laid off 9%. So, things are changing, right, as the environment changes. And then second, we have a unique business in that we have long-term sustainable revenue growth and profitability. And so, as I've talked to some candidates, that profitability is a very attractive element here at PubMatic, because it signals a level of ongoing investment in growth and stability that not every employer can offer.
Andrew Marok: Great. Thank you.
Operator: Our next question comes from Andrew Boone at JMP. Please go ahead.
Andrew Boone: Hi. Good afternoon, guys, and thanks for taking my questions. I'd like to start with Retail Media. Can you just help us understand the differentiation for PubMatic offering versus others that are in the space? I think it's important just given the size of the opportunity? And then secondly, given the fact that product development has been organic, you're profitable, you just hit on that point, Rajeev, and shares are really just come in. Can you just update us on your thoughts around the potential of the buyback and just capital allocation more broadly? Thanks so much.
Rajeev Goel: Yeah, sure. Why don't I take the first one and then, I'll turn it over to Steve on the buyback question. So with respect to Retail Media, first, just for a little bit of context. We view it as roughly $140 billion, $150 billion opportunity a couple of years out. It's a very large market. And I would say it's in very early stages of development. Obviously, have companies like Amazon that are out in front of many others. But by and large, I think most other companies are fairly new to the opportunity. We also don't think it's a winner take off. So there's a number of different ways to attack it. I think from our perspective, we view it as a very natural extension of our platform, given that we're omnichannel, we're global, we own the infrastructure, and then we have a deep portfolio of addressability solutions. And what Retail Media is really looking to capitalize on is that the publisher or the e-retailer in this case, they have log-in consumers, right? So, they know exactly what the consumer is looking for, the shopping for is buying or maybe it's not buying, and they have that at scale, and they're looking to capitalize on the advertising opportunity that, that generates, and that can be both ads shown on site on the E-Retailer’s website or it can be the data that those interactions generate that can be monetized on site or offsite. And so, we have, I think, a lot of great opportunity there. Consumers interact typically with e-commerce companies through multiple channels. So it can be mobile, it can be tablet, can be computer, can of course, be offline. We have an omnichannel platform. A number of retailers are global. And certainly, the advertisers and agencies are global. We have a global platform. We understand the retail advertising opportunity, and there is a dynamic there between focusing on e-commerce transactions versus advertising. My first start-up was in the e-commerce space. So I understand that challenge. And then as I mentioned, we have a pretty robust set of solutions in terms of addressability that allows the retailers to take advantage of the data that they have about consumers. So we think we have a lot of great opportunity here as we look forward. And as Steve has called out, e-commerce retailing is already on the buy side, is a top five advertiser vertical for us, which means we also have great relationships on the buy side of the ecosystem.
Steve Pantelick: In terms of the process of thinking through share buyback, from our perspective, it might have our ability to grow our revenues at 20-plus percent over the last seven quarters now and deliver EBITDA margins in the high 30s. We feel that currently the best use of our cash is to reinvest in our business. But it's, obviously, a topic of conversation, and we'll continue to investigate and examine it. But remember, just in the last two years, we doubled our revenues and decreased our profits and generated cash. We ended Q1 with $175 million in cash and no debt. So we continue to see really terrific returns on investing in our company innovation. And, of course, the backdrop is the huge TAM that is growing. And we're right at the heart of all the areas that are growing, mobile, omni-channel video. We grew, as noted in our comments, over 40% for that category. That was on top of over 70%, 80% the prior year. So we feel really good about continued to invest in the business and as shown in the numbers for the first quarter at 25%, that's well-ahead of the anticipated market rate, well-ahead of our peers. And so we think we're going to keep investing in doing what we do well, focus on operational excellence and, of course, delivering for our customers.
Operator: Thank you, Steve. Our next question comes from Jason Helfstein at Oppenheimer
Jason Helfstein: Yeah. Thanks. I think you've covered most of it. Just maybe what was the political impact in 2020? And I think you said you expect several million dollars this year, which I would imagine would be a little smaller, maybe than we would expect. So just what was in 2020, and do you expand on why do you think it's only several million this year? Thanks.
Rajeev Goel: Sure. Well, as a well-diversified business, we don't -- we're not over-indexing in one particular area, but back at the last election cycle, Q4 2020, we had about $3 million to $4 million of net revenue from political. So basically in line with that expectation, of course, as our CTV business grows, there might be some upside there, but I'm not currently anticipating that. So big picture is we built a business that's diversified. It can navigate the vagaries of the global economy and all the other macro conditions out there. So political is a valuable important part of it, but by no means is the only thing that's going to get us to our 25% revenue target for this year.
Operator: And our next question comes from Vasily Karasyov at Cannonball. Vasily?
Vasily Karasyov: Thank you. Good afternoon. Can you hear me?
Rajeev Goel: Yes, we can.
Operator: We can.
Vasily Karasyov: Sorry about this. I wanted to ask you question about the take rate. I know you've not disclosed it, but you probably can guess that when you talk to investors about company worth yours or your peers, the take rate is something that people really focus on. So I was one wondering if you could give us maybe a directional commentary; A, are you optimizing for it, or is it SBO accretive to take rate or not, let's say, the take rate headwind for the revenue are not. So any, kind of, commentary you could give us would really be appreciated?
Steve Pantelick: Sure. I'd be happy to. So good to see you, Vasily. So as you pointed out, we don't disclose take rate. The -- from our perspective, we focus on driving activity on our platform and then, of course, delivering net revenue dollars to the P&L. And we have a portfolio of business, meaning we are operating in every major ad market in the world, roughly 60-plus percent, Americas; 25-ish percent, EMEA; the rest in APAC. And each one of those have different revenue share rates that we're able to achieve. So we manage it on a global basis from a geo perspective. We also manage it from a format perspective. Of course, higher CPM, formats like CTV, you get a lower revenue share rate. But overall, our revenue share rates take rates have been very stable over the last couple of years. And I said publicly, that what I anticipate having over time is that our take rate will decline about 1 percentage point, maybe a little bit more – on a per annum basis related to these mix ships. But the important point to note is that the mix shift is towards high-value format, online video, CTV as Rajeev called out, we're working with GroupM to deploy sort of a global solution in that very high-value format. And so because we have such confidence in our ability to deliver profits, we're always looking at opportunities. And if we have to be competitive to drive the business, we'll do that. And our results demonstrate a consistent ability to achieve not just top line growth, but also bottom line. Now with respect to the number, I can tell you it's well below what is for example, for Google or Trade Desk. And we've gotten to this point where we can really achieve the benefits for our publishers, deliver business -- incremental business to them and incremental revenues and profits to our business by managing this carefully, but also having the foundation to be able to deliver incremental profitability because of the cost advantage, not just on infrastructure, but also on innovation. As a reminder, 80% of our engineering headcount is based in India, and that's a huge leverageable asset that we've been building on for 16 years.
Vasily Karasyov: This was very helpful. Thank you.
Stacie Clements: Thank you, Steve. We now have a question that is coming from the larger investment community. This question is for you, Rajeev. Could you talk more about the ongoing consolidation in the space? And how favorable that could be for PubMatic?
Rajeev Goel: Yes, we absolutely are seeing consolidation on the sell side, and I would say that we are a firm leader of that. We see -- I see a great opportunity to consolidate the market, which really feeds into our goal for 20% market share as we previously talked about. There's multiple drivers of that consolidation. But what I see is that we have a unique platform that's global, it's omnichannel, it's transparent, and we have a significant competitive advantage with our infrastructure. And on top of that platform, as Steve as called out, we have a strong track record of innovation and profitability, really, that allows us to get stickier with our customers each year. Our leadership and execution and supply path optimization is a great example of this. Our audience, addressability, set of solutions, our open wrap solution, also a great example on the publisher side. And we get rewarded when we do that with our usage-based model. And so our organization is trained to really find new opportunities with every existing customer and continue to get deeper and stickier. So I think we're in a great position to consolidate the market, and we're moving further and further down that path.
Stacie Clements: Great. Thank you, Rajeev. There are no further additional questions in the queue. So I'm going to turn it back over to you, Rajeev for closing remarks.
Rajeev Goel: Well, thank you, everyone, for joining us today. We delivered another very strong quarter of revenue growth and profitability. We have a proven flywheel that allows us to invest in a wide variety of growth levers for the future. And we have demonstrated over many years that we're able to innovate and lead the market. I couldn't be more excited about how we're positioned and the opportunities in front of us. Thank you.
Stacie Clements: This concludes our call today. We look forward to speaking with you over the coming weeks. Have a great rest of your afternoon, everyone.